Operator: Thank you for joining us, everyone. We are here today with Fobi's Q3 Financial Webinar. We are joined by Fobi's Chief Financial Officer, Annie Chan. We also have with us Fobi's Chief Revenue Officer, Colby McKenzie. And of course, with us is Fobi's Chairman and CEO, Rob Anson. My name is Reggie and I will be your host today. We have a lot to be excited about in Q3, and we are happy to have our guests with us here today to go a little deeper. There's a lot to get through here. So Rob, why don't you get us started?
Robert Anson: Great, Reggie. Thank you for everyone for attending today to sharing and the enthusiasm and excitement. Perhaps Reggie you could go to the next slide and get things started. Perfect. Obviously, we're here today to discuss the results of Q3, which was January to the end of March 30 of 2023. A lot has gone on, not only this quarter, but leading up to it is company has now gained a great deal of momentum. We sit today with a product stack that's 100% relevant. The world has gone mobile and digital, and we've been on the forefront for a number of years, building the company through acquisitions and patents at IP. If we move back to January to review, we did a very strategic private placement. We took in a little bit more money to be able to expand some of the operations, of course. This was a non-broker private placement with only select participants and able to provide value to the company. We looked at, of course, the launch of PulseIR, which is something we've been working on for well over a year in the background, commercial launch of PulseIR. It's been a great success. We built it off of the fundamentals to meet that we're missing in the industry. As I said, we're a leading artificial intelligence, data intelligence company that's focused on mobile digital transformation. Yet here we are using e-mail marketing to update shareholders. Pulse is providing real-time communications, providing the ability to connect and personalize all experiences and keep shareholders updated and providing as much transparency as we can to the operation and where we're headed. We saw, of course, a very, very important renewal. To me, it's – I don't say it's easy to sell something, but long-term benefits and values are built on relationships. And I was very proud to see what we've now signed for our coming third year with Passcreator is one of the largest clients in the insurance industry. Key of course, launch once again, is with TELUS and Predator Ridge, it sells procurement deal paying off dividends once more. [Indiscernible] providing a great footprint for the hospitality and hotel industry with Predator Ridge. One of my most exciting moments of course, Q3 was the hiring of Chief Revenue Officer, Colby McKenzie. For me, I've put a great deal of emphasis on sustainability, viability over the last year when we saw the market switching. We were very quick to enact our measures to reduce operations costs and burn rates. And with that, of course, I wore a lot of hats over the winter. We've pulled through, I would say, in a very positive fashion and having now the assistance of Colby to come on and aid in all the business development structure deals and of course, pursue further M&A. He has been a godsend for me. Of course, when I look at moving the dial, you're only as successful as those people you have surrounding yourself with, and Colby has been a great addition to the company for sure. We've put a great deal of direction and early stage work in R&D development into the beverage alcohol industry. As we previously announced, opportunities that we formulated from a data monetization and digital member card with both Barnet and Ideal, which gave us very, very broad leading coverage for the beverage alcohol industry. Bringing on that renewed focus now and leveraging the value which we've built through BevWorks license was, obviously, I think, one of the first understandings and appreciations that shareholders would after the value of what we've built to date. We expect many more licensed joint ventures. It's a large focus of us in Q4 and headed into the remainder of Q1 and two of calendar 2024. Obviously, for us, this was a record revenue. This is the result of the hard work and dedication of our team. It's a result of the infrastructure and the landscape and groundwork that we've done and build out over the last number of years. And for now, we've gained a great deal of not with anticipation and with the relevancy of what we do, but it's really the recognizable value now of providing interoperable data intelligence and activations and measurements. And all these great things that Fobi has built over the last few years is now finally starting to be recognized in the monetary values and in our contracts. This sets us up incredibly well moving into Q4, which obviously are June 30 is our year-end, and we once again expect to have record reportings at the end of the year. So I'm very excited, as you can tell. And now that with some of the additional support, we're back to expanding the operation based on revenue growth, which is, for us, obviously, a key metric towards EBITDA and profitability. I guess from here I would like pass it over to Annie, our CFO.
Annie Chan: Great. Thanks very much Rob, and thanks, Reggie. Good morning, everyone. Let's begin with the recap of last quarter. In the last quarter, we discussed we're shifting our focus to build a scalable and reputable business model. We discuss the importance of pilot programs and how that has helped with our land-and-expand strategy. We also discussed we have taken significant steps to improve our cash efficiencies and productivity. We were successful in reducing our spend, and we shall continue to scrutinize our expenditures. Any incremental spend will be to support revenue projects with a focus on ROI. We discussed we will continue to seek strategic acquisitions to complement our suite of products, and that will bring on industry expertise to help grow our business. We've kept our words and we have made good progress on each item, which I will elaborate over the next few slides. Next slide, please, Reggie. Let's move on to our financial results, starting with revenue. Q3 total revenue was $1.26 million, an increase of $940,000 or 298% compared with the same period last year and an increase of $754,000 or 151% compared with Q2. Q3 represents our highest revenue earning quarter since inception. The rapid growth in revenue is attributed to the following factors. First, PulseIR was commercially launched in January, and since launch, we signed three customers with an initial contract value of $120,000 each. The revenue generated includes both a set of fee and an annual licensing fee. Next, Fobi signed a five-year licensing agreement with BevWorks valued at $10 million. This revenue will be recognized in accordance with IFRS over the licensing period of five years. Our successful partnership with Barnet and initial market validation of our data insights have led us to secure the BevWorks license. And also extend our footprint and technology solutions for the alcohol beverage market. We also brought our industry expertise, David Nicholls to act as the VP of Liquor Beverage. And finally, we continue to see organic growth within our subsidiaries. With respect to digital wallet solution, there are two primary cohorts of customers, the do-it-yourself customer and the enterprise customer. Do-it-yourself customer generally has a very specific need that can be solved by the Wallet Pass. To service this cohort, we will continue to invest in automation, developing templates for our most popular use cases. Not only will this improve the overall user experience and shorten the onboarding time, but it also enables us to put even more focus on our enterprise clients. Some of our enterprise clients have a large footprint within the sector. This creates opportunities for pilot solutions for a large addressable market. And since total contract value is directly correlated with the number of active passes. This creates a path to scale revenue over time, and we have witnessed this already. By way of example, our largest enterprise client in the insurance sector has been a client since 2019. They are also one of the largest carriers in the world, and therefore, has a large addressable market. Over the last two years, the number of active passes for this particular customer has grown from just over 100,000 to over 500,000 today, therefore, increasing the total contract value with each renewal. It is also for this reason that Fobi continues to plant seeds with pilot projects and invest in clients and sectors with a large addressable market that can be fruitful in future years. As recently announced, the company completed the acquisition of Passworks. Passworks is a leading European digital wallet and mobile marketing company with international clients such as luxury fashion retailer Hugo Boss and global coupon giant Catalina Marketing Corporation. We believe Passworks business perfectly complements Passcreator's business and will act as a catalyst to further drive growth. Next slide, please, Reggie. Moving on to operating expenditures. Q3 operating expenditures, net of non-cash items, namely stock-based compensation and amortization was $2.23 million, a decrease of $613,000 or 22% compared to the same current last year and an increase of $170,000 or 9% for Q2. We have taken significant steps to improve our efficiency and productivity and the reduced operating expenditures represent our new baseline. And as mentioned earlier, we shall continue to scrutinize expenditures and any incremental spend will be to support revenue projects with a focus on ROI. Next slide, please, Reggie. In terms of specific line items, salaries decreased by $454,000 or 31% compared to same period last year and was largely flat compared to Q2. Earlier in the fiscal year, we took significant actions to operate more efficiently, and we made a difficult decision to weigh off certain employees while deprioritizing certain projects. We ended the quarter with 26 headcount. Consulting fees decreased by $316,000 or 62% compared to the same period last year and decreased by 19,000 or 9% compared with Q2. During the period, we revalued our projects and reduced the number of consultants from 16 at the startup period to seven at the end of the period. Research and development increased by $172,000 compared with the same period last year and increased by $95,000 compared with Q2. During the period, the company engaged offshore workers to conduct certain R&D activities. The use of offshore workers has enabled the company to access our large talent pool with a higher ROI and incur R&D expenditures on an as-needed basis. Technology expense increased by $10,000 or 4% compared to the same period last year and decreased by 43% or 14% compared with Q2. The change between the periods are primarily attributed to the timing of accruals posted. Professional fees increased by $36,000 compared to the same period last year and increased by $238,000 compared with Q2, and light technology expense change between the periods are entirely attributed to the timing of accruals posting. Our team is now globally distributed between Canada, U.S., Germany, Portugal and India. Considering the distribution, we downsized our office space in Canada, enabling us to redeploy this resource towards other parts of the business. These actions are just the beginning of our efficiency efforts, and we remain keenly focused on this in 2023. We are working across organization to move faster, increase productivity, reduce cost across the business. I am confident that our company-wide focus on efficiency will position us to be an even more productive organization going forward. Next slide, please, Reggie. Turning to revenue outlook. We expect continued strong momentum with Q4 revenue likely to increase by approximately 20% quarter-over-quarter, which would close our fiscal year at $3.8 million revenue based on contracts that have been signed, representing a 90% increase year-over-year. In closing, 2023 was a challenging but pivotal year for our business. We made important progress on our priorities. We shifted our focus towards scalable and repeatable business. We acquired a business that is complementary to our portfolio. We brought in industry expertise, and we have taken significant steps to improve our efficiency and productivity. We are continuing this momentum into Q4, and we maintain very focus on delivering strong financial performance. With that said, I will pass it to our Chief Revenue Officer, Colby McKenzie, to provide an update on monetization strategy.
Colby McKenzie: Thanks, Annie. Okay. Like with any company with great ambitions, there obviously remains a lot of work ahead. But we are performing against the growth strategy, laid out our March earnings call. I think we're already seeing positive results and early wins showing clear execution against our plan. If you're somebody that follows us closely, definitely seen a couple of these wins shared recently in the form of press releases. We continue to rapidly transition from successful industry use cases to deeper industry penetration. That's letting the market feedback drive our efforts and doubling down where we see our product has a strong value proposition. And let me give you two perfect examples of that. The first is our successful data partnership in alcohol and early excitement from a few major alcohol brands around our real-time data insights led us to push further into building out our solution in alcohol, which led to securing the BevWorks license and us bringing on a very experienced VP of Liquor Beverage to accelerate our monetization of the category. So we run hard where we see an opportunity. And then second, our European deals in the auto industry with BMW and Mercedes Consulting, leading to our U.S. based NASCAR car wash deal, which has spurred a concerted effort by the sales team to further explore expansion in the auto industry. If you see potential really explore it is the thought line there. With this use case led expansion, it's going to lead to clear monetization of our road map and more meaningful revenue acceleration as evidenced by this past quarter's revenue growth of over 150%. In the last earnings call, I highlighted the three elements of our growth strategy. And you're going to continue to hear and see me revisit this from quarter-to-quarter. But the first pillar of growth is going to be grow our base, the expansion of our prior acquisitions. We'll continue to lean into these established businesses to drive post-acquisition revenue growth. However, these more mature businesses also serve to drive our customer feedback, which I think is extremely valuable and important. In particular, market feedback through our Passcreator business is in the more mobile wallet familiar European market and is serving as an extremely valuable solution incubator as we look to expand where our product has a strong value proposition. The focus continues to be on adding to our enterprise customer base and increasing total contract value of current customers through the execution of our land-and-expand strategy. And I think you saw that shine through as kind of both Rob and Annie touched on aspects of that piece of the business. Again, as Annie briefly highlighted, we continue to see really promising quarter-over-quarter growth of our Passcreator business with three straight quarters of strong growth. This growth has in part been fueled by our new pass bundling technology, affording us the ability to 10x active passes in the market with the current customers. And I want to pause there and I really want to reiterate and reemphasize this point. Given the dynamic nature of our tech stack, taking a wallet pass that was a single pass in developing a way to afford customers the ability to bundle up to 10 passes in a single download is allowing us to 10x our usage and drive meaningful increases in customer LTV. With the addition of Passworks, another wallet tech company that has been highlighted, I think we're going to continue to finalize and lean into driving the exact same trajectory of growth with that business unit. And additionally, Qples business unit is a focus where we're continuing to implement that same strategy. The expansion of revenue per customer as we lean into using our very uniquely positioned couponing platform. To drive cross-selling of additional marketing solutions to maximize the distribution of those coupons and increased awareness of the promoted products. The second pillar that I want to highlight is really around new vertical growth. We're actively investing in our inside sales team in the Western Hemisphere. And as we focus on new core industry verticals to grow customer count in the places where we believe that we have a compelling offering. As mentioned in my earlier example, the first evidence of this strategy taking hold is in the alcohol category as we announced a $10 million license deal with BevWorks in March and immediately said, let’s pour some fuel on that fire brought on an exciting new hire to drive continued category growth. And the third pillar, and I think the biggest revenue accelerant of the three. We'll continue to really work diligently on our inorganic and indirect growth strategy, onboarding and monetizing strong channel and white label partners, structuring joint ventures and strategic verticals where we believe that the addition of equity-based domain experts will really provide the best path forward. And of course, a continued focus on accretive tack-on and tuck-in acquisitions across the globe. We have proven across a number of acquisitions in the past few years that we can execute on this inorganic growth strategy. I think with these more complex initiatives, they're going to take time. But we are working diligently on building out this aspect of the business. And I think we're actively pursuing a few exciting strategic relationships that we hope to be able to share as the year progresses. There's a lot of distressed of sellers of businesses with great tech and really strong fundamentals out there. And we want to be patient and opportunistic in accessing and assessing these options, but it again, I think will end up being the biggest revenue accelerant of these three pillars that I've laid out. And with that, I think that concludes kind of the prepared remarks that we had, and I will turn it back to Reggie because I know we had some questions.
Operator:
Q - : Yes. This is the exciting part. We did cover a lot of ground here. So thank you, Rob, Colby and Annie. Let's move forward to the Q&A portion of the webinar. Now these questions have been submitted ahead of time by our investors. So I'm sure they're really excited to have these questions addressed. So let's get started with Rob. Of course, congratulations on the successful quarter growth. What has been the addition of Colby meant to you? And what has it meant to the company?
Robert Anson: I think when I look at growth, it comes from support when you build infrastructure, when you build focus, you gain momentum in organic sales. And when I see the opportunity of adding Colby, as I said earlier, have been forced to wear a lot of hats. It's nice to feel the wind at my back is they would say that as we move forward here, we are extremely focused as to the growth of the company, in particular verticals. As Colby mentioned, there are some new verticals and some new partners that have come to the table, which is extremely exciting. And now with the extra bandwidth that helps me be able to focus on 2024 and so where we're headed. And to look at and access all of these different opportunities out there. It's been a very, very rough challenging year for private and public sector companies. As Colby alluded to, there's a lot of companies in distress, which for me, I have always embraced it and taken it ahead on. And in this case here, as we look at further M&A, there's just a bowload of opportunity out there that we can make some very key accretive acquisitions. We will continue to pursue, we will go very long and narrow and focus in the verticals of which we're succeeding today. And with the additional support of sales and management to end marketing, this just enables us to go quicker with, of course, a much broader subject matter expertise pool that obviously helps bring even further credibility within the industries and as a whole. I'm very grateful for the opportunity here that we do have. As I said, it has been a very difficult year for most. And for us, we've been very, very focused is day-to-day, week-by-week, month-by-month as corny as that sounds, it's that day to time, moment-in-time approach. That's enabled us to work through all of this and to get to a position of strength.
Operator: Yes. And of course, two heads think better than one. We are so grateful to have Colby here. Now I do want to bring your attention over to the QR code on your screen listeners, if you want to take a minute and explore this experience for yourself while we move forward with our questions. And Rob, the next question is for you as well. The company has finally completed the acquisition of Passworks. Now is the company going to continue acquiring assets? And if so, can you explain a little bit about the playbook there for the company's future of the AMA strategy?
Robert Anson: Yes. I've addressed a lot of that in the last question, but I – yes, Passworks took a great deal of time. It was a very strategic acquisition. There's many reasons why we acquired Passworks from an industry focus and a product perspective, we will share in due time. But no, it's one for us that, of course, comes with great revenue and a great customer base and just another additional leader within the European pass industry. As far as the M&A goes, I'll let Colby take off and maybe give a different spin to my original answer as I gave in the first question.
Colby McKenzie: Yes. You bet. And I can kind of dive a bit deeper on the playbook aspect of that question. Sadly, I think the playbook is relatively simple. Patients and execution will be the key. And you've heard us say that, but we really mean it. There's a lot of opportunities. Rob can probably attest, deal at his desk all the time. And so it's a matter of being patient, and the execution becomes the core element to that. So we're really actively exploring horizontal acquisitions where we can cement to clear market leader position. Vertical acquisitions where we want to go deep than any one particular vertical or enhance our tech stack in that vertical. And of course, last, we're looking for anchor acquisitions and verticals that we believe will play a key role in the growth of the company. As for the specifics of our current activity, we'll keep that part of it, the granular strategy confidential for now.
Operator: Yes. Well, thank you both for addressing that. Let's stay with you, Colby. I have a question for you. So your most recent role was with the cannabis tech group. Are you in exploratory discussions with any cannabis groups and what core Fobi products solve the cannabis industry challenges?
Colby McKenzie: So those that have spent time covering or learning about the cannabis industry and know that it's public companies due to regulatory constraints, have a higher concentration of retail investors. So these investors are excited by the emerging industry and eager to keep up with and learn about the companies that either they are or might be investing in. And so as such, our PulseIR product provides incredible value to these public cannabis companies, it’s almost as if it was made just for them. Many of these guys are working really hard to get through a tough industry climate currently. And so I've been in touch with a number of old friends to learn more about their pain points and how Fobi's technology may help them come out of this downstream even stronger.
Operator: Perfect. Thank you. And you've touched on PulseIR and that's exactly where I want to take this conversation. PulseIR appears to have had a positive impact with this quarter commercial launch. Rob, this was for you. Where do you see the direction of PulseIR?
Robert Anson: PulseIR is a great opportunity for us, of course, it provides many means of value. It is structured as a private wholly owned subsidiary of Fobi today, gives us great agility and versatility as to where we move forward with it. We've been developing a great deal of other ancillary products to support. As we said, the front end mobile engagement piece is an industry first. As we are gaining great traction and momentum month-by-month since we've commercialized this product. I see this as a tremendous asset to the company, and we're exploring every option that we do have to leverage that.
Operator: Thank you for walking us through that. Now you have stated that the company is focused on recurring events and perhaps Annie can take this one. Are you confident that Fobi will continue to grow its ARR?
Colby McKenzie: This is Colby. I'm happy to jump in and take that one for us. I am as confident that we'll grow our ARR as I am that we'll grow our overall revenue. Our business model, especially as it relates to direct and channel partner sales is recurring revenue focused. So naturally, as we're scaling revenue, we're fully anticipating our MRR and ARR to scale in direct correlation for the broader revenue trend. We understand the value of sticky and predictable revenue. And so we're going to continue to really make a concerted effort to scale ARR.
Operator: Thank you for addressing that one, Colby. And really nice job since joining Fobi. Where do you see the opportunities? What sectors do you see the revenue growth coming for over the remainder of 2024?
Colby McKenzie: Not to beat the same drum too much. But I really think opportunity lies in staying true to the monetization strategy that I outlined a bit earlier, executing on all three fronts: the expansion of existing business, scaling our inside sales efforts, and expanding our joint ventures and channel partner opportunities. That said, I definitely will take this question and this opportunity to expand on something that I think has Rob and I really bullish on the company trajectory. Those of you that have read our investor deck may have already gotten a little sneak peek of this, but I believe that we are really going to outsize growth with our creative participation in strategic verticals. These are going to be vertical-specific constructs and they're going to take many forms. That's why Rob brought in a former M&A attorney and myself to think creatively here. But the strategy is to pair our powerful technology with, one, domain expertise; and two, complementary industry-specific features and solutions to drive focus and accelerated growth in these high-value industries. I do want to make clear in stating this, that this strategy is not theoretical. We have already seen it show up in this quarter's outsized growth with the success of PulseIR, which, as we've mentioned, is really our concerted application of the Fobi technology to the IR space. And again, we've seen it show up in BevWorks, which is the application of years of data collection and product refinement and an exciting role of engine in the craft alcohol vertical. We fully expect to unlock the true value of our IP. We spent years and years working diligently to stay ahead of the curve to create a really valuable and meaningful IP, and this is going to be a way that we really unlock it. We're going to be leveraging this strategy in a few more verticals over the course of the calendar year, namely the blockchain space and the HR space, which we have appealing technology applications, and it's going to be some exciting stuff.
Operator: Any thoughts from you, Rob, on this one?
Robert Anson: No, I agree. This is a – it's a great deal of fun right now. I mean this is where what I've been waiting for, for the last few years is to be in a situation that we can move quickly, we can now monetize all the hard work we have done. I don't think, of course, with today's market, the recognition and consideration for what we do have is there today, but that's about to change in a very big way. I think to Colby's point, sticking to our plan. This just makes things still repeatable and scalable. And I think it's the same side that as we're seeing now from outreaches of not just the inbound lead generation, of course, but from other groups that are in a position to look at to perhaps roll up into Fobi. It's really the credibility of which we built, and they all recognize that it comes down to one thing. It's always about the data at the end of the day. And that's been our anchor in our forefront of what I've driven from day one. It's always data first. And all the other ancillary tools and plug-ins that go along with that technology now. It provides all these operators with a truly future-proof road map. And this is exactly why we're gaining so much traction momentum across the board. It's the applicability of what we do to solve problems at the end of the day. And this is obviously now is a great position for us to be in. And we're very obviously excited and bullish as to where we come in here next quarter.
Operator: Yes. Very excited. So tell us a little bit to expand on that? What has – what do you think has been the key factor here to Fobi's success this quarter?
Robert Anson: Well, there's many parts, our team is number one. It starts with, of course, our team, obviously, myself and senior management goes so far. But I think it's all the key contributors within our organization. We've always – I always keep preaching that there's so many variables we cannot control. There's a lot of noise. There's a lot of negativity, of course, out there. It's been a very challenging year as we've already stated numerous times. But it's literally to me of if you just keep showing up and it's the little things that you do that add out in the end. And this is where for me. That had a great question a couple of months ago on podcast it was what makes you happy. And it's very challenging as a CEO in these spaces because every morning at 5:00 a.m., you're kind of – here's your day and a lot of people, that's very challenging to deal with, but it's what drives each and every day. It's the tremendous support that we have from our shareholders that have stayed true and loyal to us. It's the support within the industry that I get on a daily, weekly, monthly basis as well. And really, I think it's the confidence. It's the resiliency of which I've led this team. I've never been scared to make changes. We are extremely agile and nimble, which is, to me, one of our biggest assets that we do have. And I think when I look back at the quarter, it's really the belief of the team to fully focus and execute on the broader vision and plan. And to me, that's my proudest moments here is to each of my team that have buried ahead and done what people were believing was just simply not going to happen.
Operator: Yes. And it definitely shines through in this particular quarter, and we're so proud of all this work that has been done. Now let me – you have said in the past that you need to be willing to take a step backwards in efforts to go forward. So in this quarter results – in the outcome of this quarter's results, I should say, was this Fobi taking a step backwards?
Robert Anson: Yes. I mean, Annie and I addressed this back in would have been last July, where I anticipated the market going in the tank. We started to take action then ahead of this and start to assess the operation, where do we cut back, where do we refine, where do we get very strategic. So it's through all the hard work that Annie's pushed through here and myself that we've been able to take a step forward. As I said, there's a lot of companies in dire straits, and we've bootstrap this entirely the last, whatever it is, seven eight, nine months now. We've worked through. We've taken in some very small strategic money. I've been willing to sit at the table with a small stack, if you will, and chuck away and drag the all plot per se for those poker fans out there. And I think it's the belief of the team that has done that. I could have raised a lot of money and diluted everyone made a lot of people unhappy. But that would have been an easy run. We've done everything but taking easy round here. We've shown up every day, and as I said, the resiliency of the team here and our strategic partners and investors is what continue to motivate us to go to war each and every day. And I think sometimes, as I said, you do have to take a step back. I pushed harder than anyone. And then for me – I've learned a great deal of patients, and it's one thing I really admire about Colby, and he's had obviously a great assessment and brought a great skill set to the team is really analyzing patients if there's such thing as aggressive patients, I'd say that's sort of our new kind of buzz term, but in the way we operate. But it is, it's very difficult because the expectation of now is real-time. Everyone wants everything today. They don't understand what a consolidation does, how it loads up for spring forward. And in these things here, we're trying to make the best decision each and every day. We're looking to put the company in a strong position and we've gotten through this. We are one of the few companies that will come out on a better position than we went through this market crash and correction. So I'm very proud, as I said, of the team for that and very appreciative of all the hard work Annie's done at assessing and readdressing and appreciate it for now all the new hires that we have come on and truly scale the company's revenue and growth.
Operator: Yes. And you've alluded to this. It's been a very volatile nine months. Do you have – your opinion here is what we're looking for? When do you anticipate the markets rebounding?
Robert Anson: Well, I can't really answer that, of course, can’t give financial advice, but I mean, I think it's pretty clear to see where we are – it's all I really care about is us. I can't control the broader markets or what the numbers come in from other companies or what the feds have to say and in job numbers and creations and all these things. So it's – I just try to keep positive. Really, like I said, it's – I know it's repetitive, redundant to corny, but it literally is it's each and every day, just staying positive and keep showing up and doing the right things. And this is really what happens. I don't get distracted. I don't get hung up and all the other stuff. I've been very clearly focused with the team as to where we're headed and why. And this is what you get for it. It's momentum and growth. And it's – like I said, we're coming out of this now with a great deal of momentum and a great deal of strength, which is what it's all about to me for remaining Q4 here and next year.
Operator: Yes. And you kind of alluded to this, it's controlling what we can, right? This next question is for Colby. Where do you see the company's revenue growth coming from over the remainder of 2024?
Colby McKenzie: I think on that one, we've covered it in a number of spots. But it's really going to be across a number of pieces of also, but the one that Rob and I, I think, continue to be the most excited by is the ability to see an opportunity in a vertical, attack that opportunity with whatever means necessary and being really creative and how we penetrate in the inner market and then using what is, again, a really strong IP stack to solve problems in that vertical and let the customers continue to see operations as we scale.
Operator: Yes, absolutely. Okay, let's move forward a little bit. I have a question here for Annie. In a lot of our press releases, it quotes "revenue will be recognized in accordance with IFRS policies over the 12-month of the contract". Now can you please clarify what this means to all of us?
Annie Chan: By the way of background, IFRS stands for International Financial Reporting Standards. It's a set of accounting rules that public traded companies must adhere you so that financial statements are consistent, transparent and comparable. The guidance on how revenue is recognized under IFRS is very comprehensive. But the general spirit is that revenue can only be recognized when, a, services haven't delivered; and b, the amount recorded corresponds to the value of the underlying service. This means companies cannot prematurely recognize revenue before service is delivered. The reason why we referenced IFRS in a press release is because oftentimes, our client contract has multiple deliverables with each deliverable having a different value and a different time line for delivery. So it serves a reminder that we can only recognize when services delivered and it also serves a reminder that the client contract may not be recognized immediately nor evenly over the term because revenue is roughly, because revenue recognition is largely dependent on when service is delivered.
Operator: Thank you for covering that. Jargon that sometimes we need a little more explanation on. Now this next question, we're back with Rob. Now insider buying always builds confidence in shareholders, and it is very reassuring to see that you have been so active. Now it appears that you bought over 700,000 since the market crashed back in September. Now is this accurate?
Robert Anson: I don't know have the numbers exactly in front of me, but somewhere around there, I would say, give or take a bit. Much – see I've always believed in myself where we're going. So where you start, where you finish, I know where we'll finish. And as I said, there's great opportunities to be buying here. It's heavy discounts when things go on sale in our daily life. I bought in much like here, too. This isn't a story, a small cap is riddled with ambulance chasing stories. We've shown from day one, the growth of the company, we're now starting to recognize the true trajectory of the company and continue to buy down here is this is an absolute deal. This is something I'm always more than happy to what I can, of course, I had my limits and constraints like everyone else, but any chance that I, and I get, I will continue to be buying more down here as we are completely, I believe, undervalued. As I said, this isn't but I've realized. This is my own personal opinions and strategies, but yes, I would say that, that number is probably pretty accurate.
Operator: Okay. And it's very reassuring to hear that you're – personally invested in the Fobi like the rest of us. Now any – how are you measuring success? And are you happy with where the company is at today?
Robert Anson: I'm getting better at being happy. As you can appreciate, it's been such a grind. As I said, we've gone through, get all the challenges with the market crash and business shutdowns during COVID, we came out through that. We've gone through September market crash correction, whatever you want to call what we're in today, that it's – it's easy to get sucked into the negativity in these states. But like I said, for me, I'm beginning to learn to find happiness and progress. And as I share with my team all the time that it's the little progressions every day, every week that add to me, achieving our goals and checking boxes. And that's – it doesn't all come overnight. I wish we'd wake up and share price was $100 a share. But obviously, I'm realistic as to the state we're in. We're doing everything we can to prepare ourselves for when the market comes out of this and the conditions are more favorable. As I said, we are now obviously less dependent upon market help as we are, everything that we're doing has been organic for quite some time here. So preparation, execution, focus and little wins here and there is really what makes me happy now. It's the opportunity. I think it's – I get to you versus I have to sort of thing because I know – I do know that these where you may struggle mentally or motivation wise, there's a hell of a lot of other CEOs out there that would kill to be in my position, especially where we are today and more for where we're headed. So that kind of mentality for me is what has me happy and appreciative of every opportunity that we do have, and whether that's people or business reportings like this, these are still very early days. We were truly are just beginning. We've done a great deal of work, and we've got a lot of strategic, obviously, momentum here and considerations that we're working through that I think for us, the blue sky will be truly appreciated here in the next coming quarters.
Operator: Yes. And that certainly expands to the rest of our team. We feel that positivity. We feel, and I'm sure it resonates with our audience as well. We feel all that the gratitude that we have from you and it keeps everybody motivated and moving this forward. Do you have any final thoughts for us today?
Robert Anson: Final thoughts, yes. This is, as I said, is it's very exciting times. It's very challenging times, of course, and winners win. I believe we've got an incredible team here that we've been able to put together that are truly dedicated that are – they inspire me quite honestly. And I think for us, it's the shareholders that reach out and as I said, those challenging days per se, that randomly you'll get someone that shares a story. And it's what we do. Everything we do here is for the long-term goal and benefits of all those that are involved. And those include or, of course, our shareholders and our team. I look at the opportunities that we are finding ourselves in now and seeing the growth in the companies that we invested in and you know going back a couple of years, and it's truly a point in time of inflection here. And as I said, the markets aren't going to sit in this position forever. And I believe it's the matrix once again that everything is lining up for us that things are about to rebound and become in a more positive state. And I think, as I said, I'm very confident that we'll fully capitalize on that opportunity. And there is a lot of positivity here. And I think it's the same side of that you, you attract what you give off, and it's the people that we now have part of the team. It's the relevancy and readiness and scalability of our products that makes us a lot of fun. And I am surely appreciate it for everyone. So thank you.
Operator: Yes. And we're all very excited about it. We feel the excitement. We feel all that inspiration and it just keeps everyone so motivated. Thank you for being here. Thank you, everyone, for joining us in the Q3 financial results webinar by Fobi. We hope that you found this beneficial and informative, and we encourage you to stay up to date with all things Fobi by visiting our website or LinkedIn, Facebook or Instagram. We look forward to connecting you with you again. Thank you all for being here. Thank you, our guests, Annie and Colby and Rob.
Colby McKenzie: Thank you, Reggie.